Steve Foots: Good morning, everyone. So many thanks for joining us for today's presentation, and it's great to be with you all. As well as running through our financial results, we're going to do a deeper dive on the plan we're expecting to grow -- executing to grow earnings and improve results. And we will also set out our financial framework for the next 3 years. So a slightly longer presentation than normal, which Stephen and I will carve up between us before taking your questions at the end. So starting with our performance in 2025. Overall, we're pleased with how the business has performed in a very uncertain environment. Sales grew 7% in constant currency, reflecting the benefits of a much stronger portfolio. And sales of patented ingredients were up 9%, with demand for innovation at its highest level since before the pandemic. And our Net Promoter Scores increased by 11 points as service, collaboration and more importantly than that, trust continue to improve across our customer base. And whilst margins remain well below where we want them to be, they improved both in Consumer Care and in Life Sciences, contributing to an 8% increase in profits with PBT in line with our guidance. Free cash flow also improved in the second half due to lower working capital and CapEx, strengthening our balance sheet. So good progress. There's much more to do, but our actions are beginning to bear fruit, which is encouraging. So more from me shortly, but first, over to Stephen for the numbers. Steve?
Stephen Oxley: Thank you, Steve. Good morning, everyone. I'll start with the financial headlines for the full year before taking you through our sales for the fourth quarter. So in constant currency, sales were up 7% to GBP 1.7 billion. Adjusted operating profit was up 8% at GBP 295 million, and adjusted profit before tax also grew 8% to GBP 276 million. Free cash flow was GBP 162 million, supported by reduced CapEx and lower working capital in the second half. Net debt was GBP 524 million with leverage of 1.3x EBITDA. And we proposed a final dividend of 63p, bringing the full year dividend to 111p, a small increase on the prior year. Turning to sales for the fourth quarter. These were up 5% in constant currency, slightly stronger than we expected. Our Consumer Care business was up 9%, driven by another strong quarter in Fragrances and Flavors and supported by higher growth in Beauty Actives. Life Sciences were up 8%. Within this, Pharma delivered its strongest quarter of the year, driven by higher excipient sales. And momentum continued in Crop Protection with sales up 12%, though we expect this to slow going into 2026. Industrial Specialties was down 19% against a particularly strong quarter in the prior year. The trends we saw in the third quarter continued into the fourth with volume growth moderating, a more favorable mix than the first half and like-for-like prices largely consistent with the previous year. Turning to sales now for the full year. We delivered growth of 7% in constant currency despite an uncertain trading environment. Consumer Care sales finished up 8% with another standout year for F&F, which grew 15%. Beauty Actives was up 6% and Beauty Care grew 4%, supported by higher volumes. Life Sciences grew 8% with Crop Protection up 14% as demand returned after an extended period of destocking. Seed Enhancement continued to deliver good growth of 8%. Pharma sales grew 4%, which was below our expectations as U.S. policy impacted sales of vaccine adjuvants. Finally, Industrial Specialties was down 2% as direct sales growth largely offset a decline with Cargill, which now represents just 20% of IS sales. There was growth across all regions, led by EMEA, where sales were up 9%. Asia lagged other regions as customer exports in pharma and industrial markets were impacted by U.S. tariffs. And growth in North America improved in the second half, supported by a recovery in Beauty. As Steve said, we're starting to see early progress from our business transformation. This chart shows how operating margin progressed over the year from 17.2% to 17.4%. Sales growth delivered an uplift of 0.7 percentage points as higher volumes were partially offset by price/mix, which was mainly mix. There was also a 1.6 percentage point benefit from transformation cost savings. This more than offset inflation and the costs associated with recent investments coming online. Unfortunately, a foreign exchange headwind of almost 1% masked this margin recovery. With cost savings gaining momentum, second half operating margin was 17.6%, giving us confidence margins will continue to expand over the coming years. Turning now to profit. This shows a bridge of adjusted profit before tax of GBP 276 million to reported profit before tax of GBP 91 million. In addition to recurring amortization of acquired intangibles, there were exceptional charges of GBP 150 million. We incurred exceptional cash costs relating to transformation of GBP 26 million, including redundancy charges. The rest was largely noncash. This includes a GBP 45 million full impairment of our lipid site at Lamar in the U.S. with an associated onerous contract provision of GBP 16 million for standby costs. We've carried out a detailed review of our pharma lipid capacity across our 4 sites. And whilst we remain excited about the future, we have adequate capacity across 3 sites to satisfy medium-term demand. So we've started -- decided not to start commercial production at Lamar and have instead placed the facility in standby mode. This eliminates future financial exposure and cost while fulfilling our commitment to the U.S. government, who provided most of the site's funding to produce lipids in the event of another pandemic. Other noncash charges of GBP 62 million include a GBP 29 million write-off for assets under construction, which will save CapEx following a detailed review of future investment requirements. A GBP 22 million impairment for closure of our U.K. distribution center, which we announced last summer as we optimize our European supply chain and an GBP 11 million impairment of acquired technology intangible assets where we've discontinued certain development programs. There are likely to be further impairments as we continue to optimize our footprint. Moving now to free cash flow and net debt. EBITDA increased 5% to GBP 397 million. As you can see, there was a working capital outflow of GBP 8 million compared to an inflow of GBP 21 million in the prior year when we benefited from the settlement of a GBP 48 million one-off COVID receivable. Typically, I'd expect a working capital outflow of between GBP 20 million and GBP 30 million to fund growth each year, but we can reduce this by making structural improvements, which I will come back to later. Following a detailed review of current and future investments, CapEx reduced from GBP 138 million to GBP 108 million, below our guidance of GBP 135 million. Combined with stronger earnings, this supported free cash flow of GBP 162 million. After paying the dividend and purchasing shares for our employee share ownership plan, net debt reduced slightly to GBP 524 million. Leverage improved from 1.5x EBITDA at the end of June to 1.3x at year-end. Turning to guidance, where my comments are in constant currency. We expect adjusted operating profit to be in line with current market expectations with organic sales growth of 3% to 6% and a further increase in operating margin. First quarter sales are expected to be similar to the same quarter in 2025, which is a strong comparator with growth of 9%. And we expect sales to split roughly 50-50 between the first and second half. So in summary, we delivered good growth in 2025 despite uncertain end markets, and we're encouraged by early signs that the transformation program is improving both margin and returns. Now back to Steve to take you through our plans.
Steve Foots: Many thanks, Stephen. So the plan we're executing builds on the 5 points we talked about last year. It combines growth actions with transformation initiatives to drive improved performance. And it's all about growth and efficiency. We need them both. And that's starting to happen, and we expect that to continue. I'm going to spend some time on what we're doing to deliver more consistent growth. So what we're specifically doing to refocus innovation, improve customer experience and maximize returns from investments to drive consistent growth in key markets such as beauty and pharma. I'm really pleased with the progress being made, executing on our transformation initiatives. The whole business has responded well. And as we pushed hard to deliver change quickly, the organization has responded. And by implementing permanent structural improvements, we're becoming a more efficient company. We are streamlining our supply chain and procurement, digitalizing key processes and exploiting the use of AI and data in the business. So it's all about simplifying, modernizing and standardizing the way we do things across the business to make both the customer and the employee experience a much better one. This is leading to an improved financial performance, which Stephen will expand on in a moment. So before I come back to our actions, I want to talk through the foundations of our plan, which are Croda's core strengths. There's 3 things that sets us apart, I believe, from our competitors. Firstly, it's our business model. It's fundamentally a differentiated model built on the importance we place on customer intimacy through direct selling. This allows us to better understand the unmet needs of our customers and drive innovation, and you're starting to see that come through. Secondly, it's our core capabilities. We have a leadership position in both innovation and sustainability across all key markets, and we make it very difficult for our customers to formulate out our products. And thirdly, not last, on the right, there is our portfolio. We've come to the end of a period of significant portfolio investment, and it's now pointed to higher growth and focused on niche markets with compelling long-term trends. This has enabled good year-on-year growth over the last 18 months, even in these tough conditions. So coming to each of those strengths in turn. This slide outlines how our business model actually works in practice. At its heart, Croda is a specialty ingredient company, where we refine and purify natural raw materials and supply thousands of ingredients to thousands of customers that are included in their products, often actually at very low inclusion levels. The pictures across this slide show each step of the model and what our teams are doing to create performance difference through imagination, creativity, but above all, exacting science. And we're selling the benefits of our ingredients, not the chemistry. And whether that is applying our unrivaled purification expertise for drug delivery, utilizing high throughput screening to create new beauty claims, tailoring ingredients to meet the demands of our crop customers or using our expertise in formulation development to combine ingredients into solutions for high-profile brands. And we bring all of that together with world-class claims, which often transform the value of our customers' brands. Next is our core capabilities. We leverage common science with common processes and common products. And the diagram on the left illustrates how smart science is the starting point for everything that we do. It touches the areas -- all areas of our business, and the same can be said for our processes as well. Ingredients sold to beauty, home care, crop protection, industrial specialties as well as many pharma customers are produced at our shared manufacturing facilities. It accounts for 60% of our sales and 70% of our volumes. And many of our ingredients are sold in different markets. So what might start out as a product in beauty can often end up in a crop application as well, the same product. And we optimize the exact specification by ensuring that our sales teams work in close collaboration with R&D to create solutions for our customers. Our ingredients portfolio is unique with 1,700 patents and sales of patent ingredients increased by 9% last year. We also lead the way in sustainability as validated by our external rankings, including our long-standing AAA rating from MSCI. Look, these capabilities are fueling our ability to serve fast-growing niches, each with compelling and common characteristics, which I'll discuss in more detail later. So following a period of heightened investment over the last 5 years, our portfolio is aligned with the higher growth and long-term sustainable niches. 89% of our total sales now come from consumer, pharma or agricultural markets. That's up from 73% in 2019. These are the areas where customers value our innovation the most, and those industries have got big megatrend structural drivers behind them. We have invested in exciting high-growth niches like plant stem cells, fragrance and flavors and biologics to access faster growth and they're all growing twice as fast as the market. And we're also selling to faster growth customers, notably local and regional customers and now represent 82% and 56% of sales, respectively, for consumer and Crop. Geographically, 48% of our sales are now from outside of Europe and North America, up from 37%. Half of our business is in fast-growing countries. So from a market, customer and regional perspective, there has been a material shift in our portfolio towards faster growth, and you're starting to see the early signs of that coming through. This slide explains operating margin development over the last few years, with each column accounting for approximately 1/3 of recent margin dilution. Firstly, on the left, it was a consequence of lower volumes, which was mainly macro driven due to volatile demand post pandemic, but compounded by the divestment of most of our industrial business in 2022. Secondly, it was driven by a higher cost base, as shown in the middle column. And whilst product and gross margins have remained relatively stable, reflecting the quality of our business, our cost base, particularly SG&A, became significantly higher. And thirdly, on the right, whilst this period of heightened investment has positioned us for growth, it's also increased our invested capital base, contributing to lower returns on invested capital and resulted in more incremental costs as new investments come online. So some of our acquisitions are also high growth but lower margin, notably F&F. So until recently, our margins have set us apart from our peers, a leading position that we are determined to recover. And encouragingly, 2023 was the low point of sales and profit with progress in '24 gathering further momentum in '25 and as we ramped up our growth and efficiency program. So there have been 4 major challenges that we've learned in the last few years, and we're stepping up this execution around them. Firstly, customer behaviors changed post the pandemic, and they temporarily prioritized supply and demand challenges ahead of innovation. And secondly, we allowed our cost base to run ahead of sales. We were slow to address this, and now we're dealing with it. Thirdly, our strategic investments need to make a bigger contribution to profits. And finally, we were too concentrated on higher growth opportunities, notably in pharma, where we focused on vaccines ahead of our heritage business. And our growth and transformation actions are a direct response to these learnings. We're a curious company, we must learn as we go. And we've increased our focus on execution, and you can start to see this coming through in our results. There's also more to come given the natural lag between action and outcome. So we finished the year in '25 much stronger than we started the year. We expect to finish '26 much stronger than the start of the year in '26. So I'm going to go through each of the 4 growth areas that -- and what we're doing to differentiate our performance. Importantly, our business is very well invested. So we're not having to ramp up investments to deliver consistent growth. It's already there. So starting with innovation, with consumer and regulatory trends changing quicker than ever, customer demand for innovation has rebounded, but customers now want different things. And we've responded by implementing a more rigorous innovation framework, rebalancing R&D resource making it more customer-centric and focused on 3 big things: firstly, launching new ingredients, which is the DNA of Croda. Historically, this is where we focus the hardest. Secondly, creating new benefits for our existing ingredients; and thirdly, increasing co-creation activity with customers. So running through each of these in turn and starting on the left, sales of new ingredients increased 10% in '25. And last year, we launched KeraBio developed from a new scalable technology platform for hair repair that enables brands to compete with market leaders. We're the first to market with a groundbreaking ingredient. And with the last batch we produce selling out within a day. Next, we're opening up big opportunities by creating new benefits from our existing ingredient range to meet unmet needs. For example, we've developed our existing lipid range to address new markets for pharmaceutical generics. And finally, we're doing much more with our customers to tailor individual ingredients and formulate multiple ingredients to meet their specific requirements. The average pipeline value of each customer co-creation project increased by 12% in 2025. So a good example of this is a peg-free rheology modifier that we developed in collaboration with a global beauty brand. So turning to customer experience and what we're doing to improve that. Our direct selling model and our co-creation expertise cement strong levels of trust and loyalty. Over 90% of our customers have stayed with us over the last 5 years despite the market volatility. We are now deepening those relationships by building a more granular understanding of different types of customers through the new segmentation program that we've got, introducing more tailored solutions and bespoke service packages for local and regional customers, regional giants and multinationals. They all want different things now. And for local customers, we are now globalizing claims testing and formulation support. So for example, in Beauty Actives, this has historically been done exclusively from our Sederma site in Paris. We're now replicating this capability in key locations across Asia. And last year, sales to this consumer -- this customer segment grew by 9% in Consumer Care. We're also deepening the relationships with Asian giants across beauty, pharma and crop protection, helping sales to top the 5 -- helping sales to the top 5 Asian beauty giants grow by 19% CAGR over the last 2 years. And crop sales to Tier 2 customers were also up 36% in 2025, partly driven by the rise of Chinese generic pesticide manufacturers. We're powering the world's biggest brands across our key markets and are a core supplier of beauty actives for every multinational company globally. And in 2025, we grew sales with 4 out of 5 top beauty customers and by 14% with our major crop protection customers. And our Net Promoter Scores, which we value very highly, prove that we're doing the right thing. We're benchmarking at the top of the industry for product quality, the most important driver of customer preference, but we're also in the top quartile for innovation, sustainability and above all that, trust. And we're driving best practice in order delivery, customer service and access to information. And with 89% of total sales now in strong and niche positions in these structurally advantaged markets, we're in a good position to continue the early growth momentum that is coming through. Turning to investments then. We're scrutinizing future commitments and past performance with much greater rigor, and Stephen will explain how we're applying our capital allocation framework shortly. We're also driving all of our recent strategic investments much harder, leveraging our global distribution network, maximizing sales and broad scientific expertise to accelerate technology transfer and development. And starting on the left with growth-focused CapEx, which was largely spent on assets in Asia and scaling up pharma lipids. Last year, we commissioned our new low emissions production center in Dahej, India, further rebalancing our global manufacturing footprint to higher-growth countries. It will support faster growth in Asia this year and its lower cost per unit will enhance profitability. Capital expenditure to enable large-scale pharma lipid manufacturing was joint funded by the U.S. and U.K. governments. The investment has positioned us for breakout growth in due course, but it's going to take more time. So we've decided to put our new U.S. lipids facility on standby to minimize costs. In hindsight, we should have invested in scale-up facility, not 2, and that's the learning here. But we have world-class facilities that can quickly ramp up when needed and enough lipid capacity to satisfy near- and medium-term demand. Moving across to M&A, acquisitions made during this period are delivering good growth, and we have rigorous plans in place for each of these businesses to support continued growth in the year ahead. So over the last 5 years, we've shifted to highly attractive markets primarily small niches, which offer prospects for above-market growth. It's the principle that runs through Croda for many years. And we've also allocated resources to higher-growth geographies. Our Beauty business has a circa 10% share in the $8 billion addressable market, as you can see on the left. Ingredients space with top 3 positions in niches that are growing faster than the market as a whole. In Beauty Actives in the second -- in the left-hand column, we have #1 or 2 positions in niches growing at 4% to 7% a year, and we're a top 3 player in Beauty Care Ingredients in niches growing at least 3% annually. Turning to our F&F business. It's -- we're a small but fast-growing player in a $25 billion addressable market. We focus almost entirely on local and regional customers in emerging markets, a segment that is growing twice as fast as the broader market. That unique positioning will continue to drive above-market growth in the years ahead, which we will support through light touch CapEx following more significant investment recently. Our agricultural business has a circa 9% share of a $4 billion addressable market. All of these markets have got good growth in them. And we have a top 3 position in niches growing at least 1.5x market growth. And as regulations tighten and crop care formulations become ever more complex, customers have significant development needs, providing us with opportunities to innovate. And this is reflected in strong demand for the highly differentiated ingredients at the top end of our portfolio, which have grown at 10% CAGR since 2019. And finally, pharma is a top 3 supplier of delivery systems in niches, growing at least 5% CAGR. And I want to quickly update -- provide an update to some more detail on the actions that we're taking to reinvigorate Beauty and rebalance Pharma. Both these businesses has margins above the Croda average. So driving consistent growth here, of course, helps enhance group profitability. Starting with Beauty, where we're looking to drive a more consistent performance in both the top and bottom line. In Beauty Care, following the pandemic, many of our big customers prioritized tactical competitive activities like resetting supply chains ahead of innovation. This impacted industry innovation, causing it to slow temporarily. Well, ingredient innovation is now firmly back, and we've seen that pick up over the last 18 months, particularly with the multinationals. On top of this, customers want different things from our innovation programs. And at the start of last year, we responded by implementing this more rigorous innovation framework I just explained, ensuring spending is well controlled by reallocating resources to maximize the value we can create for our customers and, of course, ourselves. In Beauty Care, we have 2 key priorities. Firstly, capturing exciting new near-term opportunities in commercializing our advanced biotechnology pipeline. KeraBio is the first -- you should see this as the first of a number of new platforms ready to be commercialized. And secondly, showcasing Beauty Care as a delivery system for actives, leveraging our ability to deliver tailor-made solutions to customers comprising multiple ingredients, and that supported increased growth last year. In Actives, we're seeing greater demand coming from outside of Europe. So again, we have 2 clear priorities there. Firstly, internationalizing our actives capabilities beyond the traditional center in Paris. This will include regionalizing testing and claim substantiation capabilities, particularly in Asia. Our new class of ceramide ingredients is helping to accelerate active sales as we globalize our offer as well. Secondly, we're taking advantage of new markets opening up. Our Actives have traditionally been used in high-end brands, and that is continuing, but they are now starting to go into more mainstream markets as well. So we're delivering benefits to masstige products, affordable luxury, you may say. That's helped support higher sales growth in the second half of the year, particularly in North America. And we expect Beauty to contribute to organic sales growth of 3% to 6% to 2028 for Consumer Care, with Beauty Actives growing faster than Beauty Care. And the sales growth across Beauty is accretive to group margin, it will enhance profitability at the group level. And finally, Pharma. We've improved our focus and the customer experience by splitting our Pharma business into 2 portfolio-led focus areas. These are pharmaceutical ingredients, which many of you will know, which represent over 2/3 of pharma sales, but wasn't our priority during the pandemic. And as we concentrated on higher growth opportunities, we've now organized this business on a regional basis, leveraging long-standing customer relationships through our regional model. It comprises 2 things: ingredients for Consumer Health, where we're benefiting from Croda's broader skin care expertise for topical applications and advanced ingredients such as high-purity excipients that are used as delivery systems across the full range of current generation drugs. And to strengthen our leadership, we're creating new high-purity excipients for injectables and new bioprocessing aids as well, new market opportunities for us. And for example, our recently commissioned super refining process at our site in Leek has supported the launch of a super refined Poloxamer uses both an aid to sell growth during upstream processing as well as an excipient, great new growth opportunities. And moving across to the right, Pharma Solutions provides lipid technologies and vaccine adjuvants, which together represent less than 1/3 of pharma sales. Here, we have the opportunity to accelerate overall pharma growth, albeit with a more volatile year-on-year performance as illustrated by its exceptional growth during the pandemic, followed by a reset in demand. This is now organized as a specialized global business, working closely with customers and partners, principally on new drugs in development. In lipid Technologies, we're targeting new applications for lipids in generics and expanding our range of more than 2,000 lipids for drug research, for example, with Certest and to accelerate development of sustainable vaccine adjuvants as well, an important part of our R&D program. We are working with external partners with recent portfolio additions, including sustainable squalene, which has demonstrated extended stability compared with the competitors shark-based alternatives. Pharma will contribute to organic sales of 4% to 7% each year for Life Sciences, a growth rate, which excludes any breakout growth projects that could represent a potential upside. So growth across all pharma platforms is accretive to group margin and will help enhance the group profitability. So let me pause there, hand over to Stephen, who can talk about our transformation program and how all of this translates into our near-term performance.
Stephen Oxley: Thank you, Steve. Right. So moving on to our transformation program. So last summer, we set out a program designed to enhance growth, drive stronger execution and deliver cost efficiencies. So what are we doing? First, we're optimizing value by reducing complexity in our product portfolio and customer base. We're also delivering commercial excellence through improved pricing discipline, customer segmentation and account management. Second, we're transforming our supply chain, where there's a significant opportunity to reduce cost and working capital by optimizing our procurement, manufacturing and distribution. Third, we're simplifying our organization by streamlining management layers, headcount and support functions. This is underpinned by actions to enhance our performance culture, aligning incentives to our financial framework as well as a program to leverage AI, digitalization and better use of data. Collectively, these steps are expected to deliver total annualized savings of GBP 100 million and a working capital reduction of GBP 50 million for full year 2028. Though it's still early days, we've made good progress in each area. So let me give you some examples, starting with optimizing our portfolio. Our customers value the breadth of our product range, which includes over 100,000 individual SKUs. However, this brings complexity and cost to our supply chain with a long tail of low-volume items where we don't always make money. So we're rationalizing our product SKUs with a minimal impact on sales, which will allow us to focus on the most important products, save costs and improve working capital. We've completed a pilot for one global product group and we'll now apply this to the rest of the portfolio. We've also segmented our customer base so that we can tailor our service better. For example, we're improving account management for our multinationals. We're setting minimum order values for smaller and regional customers, and we're accelerating adoption of our digital portal, reducing cost to serve. We're also driving best practice in pricing across the portfolio. As we told you at the half year, we're closing and outsourcing our U.K. distribution center as part of our supply chain transformation as well as fast tracking an operational improvement program for our 11 shared manufacturing sites, which account for around 70% of volumes and 60% of sales. By the end of the year, we've begun to realize savings in 6 sites with a further ramp-up this year as we benchmark and standardize best practice. We're also starting to consolidate manufacturing processes into fewer locations. For example, we currently produce alkoxylated products at 8 sites around the world, and we'll halve this by the end of the plan. In total, we have more than 40 manufacturing plants and most of our costs are not associated with the 11 shared sites. So we'll also focus on the rest of the footprint in 2026. Centralizing procurement is a major part of our transformation program, rebalancing local agility with the need to exploit our purchasing power. At the moment, Croda largely buys products and services on a site-by-site basis. We're establishing regional and global procurement by cost category, starting with raw materials, packaging and logistics. We've also launched a working capital improvement program and have identified structural savings of around GBP 50 million across inventory, receivables and payables. Looking at simplifying the organization, we reduced headcount by around 5% in 2025, excluding F&F. In our back office, we've begun to transform finance, HR and IT with a greater use of shared services and outsourcing as well as better use of data and automation. Now this slide aligns the savings we set out last year with the pillars of the transformation I've just outlined. GBP 65 million comes from optimizing our operations and procurement as we transform our supply chain and GBP 35 million comes from simplifying the organization through headcount reduction and streamlining our support functions. In total, we still expect to deliver recurring savings of GBP 100 million in 2028 at a cash cost of GBP 80 million. As you heard earlier, we delivered GBP 28 million of savings in 2025, slightly ahead of our plan. This offset underlying inflation and the cost of recent investments coming online. From 2026 onwards, we expect transformation cost savings to more than offset inflation and investment costs, contributing to margin recovery. Of course, we'll continue to identify new transformation opportunities, particularly in our supply chain, and we'll keep you updated on progress. So turning now to our financial framework for 2028. As Steve said, we have leading positions in attractive markets and are well positioned to deliver consistent growth. Assuming prevailing economic conditions continue, we expect organic sales growth of 3% to 6% in Consumer Care and 4% to 7% in Life Sciences, both underpinned by growth in all our business units. Industrial Specialties is not a priority for capital allocation, though we will selectively target growth opportunities. We expect sales here to be broadly flat as modest growth in direct sales is offset by reductions with Cargill. Together, this amounts to average organic sales growth for the group of 3% to 6%. Volume growth will moderate from 10% in 2025 as we increasingly focus on our most highly differentiated higher-margin products with price/mix turning positive. So how does this all translate into margins? We expect to increase adjusted operating margin from 17.4% in 2025 to more than 20% for full year 2028. A 20% operating margin is equivalent to an EBITDA margin in excess of 25%, which benchmarks favorably against our peers. Our principal cost headwind is salary inflation, which was GBP 12 million in 2025. We also expect a GBP 10 million step-up in depreciation in '26 as recent investments come online, but this should be the final significant increase. Margin recovery will be driven by remaining transformation benefits of GBP 75 million as well as top line growth with growth contributing a slightly larger portion. Turning to free cash flow. I'm pleased with the early progress we made in 2025, generating GBP 134 million of cash in the second half. We expect to make further improvements reducing working capital by GBP 50 million for full year 2028. This will be delivered by improving supplier terms and payments as we centralize procurement, standardizing receivables terms and optimizing collection as well as reducing inventory as we transform the supply chain. Capital expenditure has also been coming down as we complete the pharma investment program and several other large expansion projects. We reduced CapEx to GBP 108 million or 6% of sales in 2025, and we expect it to continue at around that level over the next few years. The benefit of lower CapEx and working capital, together with growing profits, will support a continued improvement in free cash flow. As you can see, we're targeting free cash flow conversion of 12% for 2028. Our definition of free cash is now more prudent as it includes the cash cost of delivering transformation. Turning now to capital. As I said at the first half, our capital allocation framework remains unchanged, but we're applying it with greater rigor. Our first priority is organic investment, where there's been a period of heightened intensity and greenfield site investments, which are now largely complete. We're putting a strong focus on returns, risk and execution in our upfront commercial assessment of future CapEx and we'll prioritize smaller, lower-risk opportunities with faster cash payback. Second, our policy is to pay 40% to 50% of adjusted earnings as ordinary dividends, and we remain committed to at least maintaining the dividend as we grow back into this payout ratio from the current level of 76%. Third is acquisitions. After significant M&A activity in recent years, our focus is now on driving greater returns from these investments. We will continue to look at small technology-led bolt-on acquisitions if we see opportunities to accelerate innovation. But any spend here is going to be modest and typically below GBP 10 million. Fourth, we plan to maintain net debt within the range of 1 to 2x EBITDA, providing the opportunity for additional shareholder returns as we generate free cash flow over and above regular dividend payments. So to summarize, our new financial framework sets out our targets for the next 3 years to 2028 and a scorecard for tracking future progress. Our ambitions, of course, go well beyond this, but let's first get the business back to generating good growth, margins and cash flow. We expect to deliver average organic sales growth of 3% to 6% a year through to 2028 based on current market conditions. Together with benefits of our transformation program, this will result in adjusted operating margins of more than 20%. We're targeting free cash flow relative to sales of more than 12%. And finally, with earnings growth and lower capital intensity, we expect return on invested capital of more than 10%. Many thanks, and I'll hand back to Steve.
Steve Foots: Many thanks, Stephen. So as you've heard, there's a huge amount of activity going on right across the business. Our plan is built on Croda's core strengths, underpinned by multiple self-help areas to drive growth and transform our business for the next chapter. It's all about delivery and it's all about transformation. And our performance objectives are clear: to maximize value to our shareholders by delivering consistent growth and enhanced profits alongside increased cash flows with improved returns. Progress is underway. There's much more to do, but we look to the year ahead with confidence, and we look forward to keeping you updated along the way. So let's stop there and take your questions. I think what we'll do just for housekeeping, plenty of questions. When you put your hand up, there will be a mic coming, if you just say your name and firm. And then for those that are dialing in online, just plug in your questions and David will read them out later. Thank you.
Steve Foots: Charles, do you want to start?
Charles Eden: Charles Eden from UBS. My first question is on margins. And how should we think about the cadence of the margin progression over the coming years? Is there any reason why the progression towards over 20% by 2028 will not be reasonably linear over the next 3 years? And perhaps you could also talk us through how you're thinking about the various contributing buckets to this between operating leverage, transformation cost savings, incremental cost inflation and any other factors you wanted to call out? And I don't want to get ahead of ourselves, but you mentioned your ambitions go way beyond the targets set out for '28. So is it fair to assume that means nothing has changed regarding the EBIT margin trending back towards the mid-20s over the longer term? And then my second question is on price/mix expectations for '26. Can I just confirm, is the expectation still for flattish list pricing with mix negative to start the year, but to see improvement through the year? Is that the right way to think about it? And are there any variances between Consumer Care and Life Sciences to be aware of?
Steve Foots: A few questions, sorry. Stephen margins and mix.
Stephen Oxley: I'll deal with your last question first. The way you've described that is exactly right. Just think about the momentum that we've got going through '25 into '26. Coming back to margin, I'll talk about the 3-year period, not start thinking too far beyond 2028. But let's think about what we've seen. I think good margin recovery in 2025. There is an FX headwind of 1% that masks that. And that's the progression that we will see going into next year. So exiting second half at 17.6% -- and yes, you should think broadly linearly across the 3 years. And as I set out on the slide, we've got the combination of sales growth and business transformation really driving that, sales growth being slightly more than transformation. And of course, like any business, we then have inflation headwinds and everything else. The key point to make, of course, is that the business transformation benefits are structural, right? So that GBP 100 million of savings continues beyond 2028. Look, our ambition is to get beyond 20%, but let's first get to 20%. When we compare the business now back to 2019, it is a much better business. It's a higher value, higher-margin business, but it's also a different business, a different mix and a more heavily invested balance sheet, but we're not going to rest at 20%.
Steve Foots: Lisa?
Lisa Hortense De Neve: Lisa, Morgan Stanley. I have 2. I would just like to come back to your capital allocation comments. At the end, you talked a little bit about potential special returns. If you could just provide a little bit of detail or framework around that, that would be great. And then two, you had a quite strong end to the year on the top line. It was quite impressive. How should we think about that trending into the first quarter? I know that you mentioned that comp sales would be broadly flat year-on-year, but it would be good to get some qualitative color on the subsegments, especially pharma and the subsegments of Consumer Care.
Steve Foots: Should we start quarter 1 then, just a high-level message on quarter 1, and then we'll come back to special returns as well.
Stephen Oxley: Yes. So Lisa, it's unusual for us to guide for a quarter. I did that because what I don't want is a surprise coming out when we report in April, quite frankly. But there's nothing unusual about what's going on. We've exited 2025 actually in the way that we expected. January is looking bang on expectations. It's just for Q1, we're lapping a very strong quarter in 2025, as I said, with 9% growth. But in terms of phasing for the full year, it will be kind of a normal 50-50 split.
Steve Foots: Okay. And then on the special returns, I think the capital allocation policy has been there for many years. We're not doing any more big CapEx. It's back to 6%, around 6%. And a lot of it is -- and we're not doing any M&A as well. So we expect to grow the business very hard. I mean a lot of the focus is on EBITDA growth and free cash flow growth. So we need that free cash flow to grow. And we've got options -- we've got optionality on the balance sheet. But Stephen can probably add to that, if you want.
Stephen Oxley: Yes. Look, I think for me, it's about running a prudent balance sheet. So we're 1.3x levered at the moment. We've been very, very clear that we'll be generating more free cash flow. I think it's important that we grow back into the dividend. And as a point of discipline, we don't borrow to buy back shares or pay special dividends, all right? So we're very clear that the cash will first cover the dividend. As we generate more cash, we and the Board will obviously look at how we deploy that.
Steve Foots: Okay. Sebastian?
Sebastian Bray: Sebastian Bray of Berenberg Bank. I would have 2 questions, please. The first is on Industrial Specialties. The company has provided flattish comparable sales growth indication to 28%. Can you talk about the expected margin development over that time because this business used to make double, if not higher, operating margins versus what it does today. Is sitting within that guidance, the expectation that the profitability of the segment will improve on a relative basis faster than the 2 main segments of Croda, the Life Sciences and Consumer Care. And my second question is on part of Consumer Care, which is Flavors. You didn't mention it in the presentation, but it looks like it was the fastest-growing business at Croda in 2025 with, I believe, over 20% growth. What's going on there? And is this an area that let's say, could become a little more important in the future?
Steve Foots: Yes. Well, let's do flavors and then back to IS, and we'll both probably chip in on IS. I mean Flavors, it's a good business with minimal distraction at the top of the company. It's part of a very good team in the F&F team. So it's -- we've given it about GBP 3 million or GBP 4 million worth of capital about 2 years ago. It's all it needs to keep growing. So the growth is coming from that capital that's gone into the business. And it's really good growth around the world. So our job there is it's not easy, but it's increasing its EBITDA without distraction from the top of the company. And we like the business, and it doesn't need any more capital for the future. So becoming more important because of the growth, but it's still part of flavors and fragrance business, which is growing very well as well. So this last year, it's done very well. But we shouldn't forget about fragrances, which is growing 13%, 14% as well. So we like the business, and it should continue to grow. IS, I mean, let me start with IS. IS, the majority of IS has got good margins in it. In there, you've heard that 20% of IS is the relationship we've got with Cargill. A smaller percentage of that is the tolling and residue cold stream business. So the majority you can work out is broadly 2/3 of that is good quality quota business, something that I've run for 15 years in Croda. So it's got good margins. We expect that core business to grow. We want it to grow. So we wanted to selectively grow. And I think it will help, of course, that growth to the respective businesses in the front here for Life Sciences and consumer in the shared assets. So it should continue to grow, but a lot will depend on the overall growth with the relationship we've got with our Cargill partner and also cost stream should be just a function of the activity that we do as a business.
Stephen Oxley: And Sebastian, margins in IS will recover, but both as we target specific growth opportunities and as the business benefits from transformation, obviously, from a relatively small base.
Katie Richards: Katie Richards from Barclays. Just a quick follow-up on the margins. If I remember correctly, at Q3, you said that you felt you'd be able to recover 750 basis point adjusted EBIT decline and are now targeting above 20%. So is there any reason for your conservatism on this slide? And as well, having now disclosed the sort of midterm targets towards 2028, what can we expect from the CMD in the first half of this year, if that's still happening? And my second question would be on the utilization and the winning back of volumes. If I look at the slide on the bottom left on Page 19, it looks like the utilization rate in the second half of this year has been flat or maybe 1 percentage point up. Are you still comfortable with getting back to 100% of utilization rates by the end of 2026?
Steve Foots: Okay. A few questions in there, margins, utilization and your point about Capital Markets Day. So Steve, why don't we start with margins and utilization. I'll come back on the Capital Markets Day point.
Stephen Oxley: So look, is 20% walk in the park? No, it's not. I think that's a stretch. It's early days on transformation, but we're pleased with progress. We've set out a clear path back to more than 20%. As I said earlier, we're not resting on that as our ambition. What was the utilization? Spot on 93% for the full year. It's up a little bit. Look, we want to get back towards 100%. This isn't an exact science. It's multiple sites. It's multiple processes. When we talk about 93% utilization, that's wonderfully simplistic. What you've seen through the year is the trend of volume coming down and the mix offset coming down as well, all right? So think about 10% volume growth for the full year. Q4 volume growth was 5%. Mix for the full year, 3% against -- and then that's come down, obviously, in Q4. That's the trend that we expect to continue going into '26 and beyond.
Steve Foots: And your Capital Markets Day point is don't expect a full-blown Capital Markets Day for us. What we want to do is similar to '22 for many of you in the room that were there is start to do deep dives in our businesses. We've got 4 big businesses, Pharma. We've got Ag, we've got Beauty and we've got F&F. So we're going to start with pharma. So we'll come out with some dates for a deeper dive on pharma in due course. David, we'll take one from David first.
David Bishop: It's a question from Martin covering analyst at Kepler, and it's on the margin again. Regarding your framework and your EBIT margin aspiration of over 20% by 2028, to what extent will this be driven by top line growth, including the leverage effect? And how much will cost savings contribute? Is it an equal split?
Stephen Oxley: Yes. Thank you, Martin. Look, just to reiterate that growth is driven by both with growth slightly higher than transformation.
Steve Foots: I think the wider point we want to make to -- and we make in the business as well is we want every business in Croda where sales value is ahead of sales volume and profits are ahead of sales value. And what we really mean by that is that the growth in margin is driven by innovation, but also with transformation. And we're not far away from that in some of our businesses. Matthew?
Matthew Yates: It's Matthew from Bank of America. Sorry to come back to the margin question again. I'm trying to connect what I think is Slide 19, which is the backwards-looking waterfall of effectively what's gone wrong and Slide 36, which is the forward-looking bridge on your targets because I mean you framed it in the way that these 3 equal buckets. And I guess my question is, of those respective buckets, how much of the problem do you think you can fix versus what, for whatever reason, unfortunately, is still a persistent headwind? And the second question is on top line. This idea of delivering consistent growth I think with respect, that isn't necessarily something that Croda has proven in the past. So the question is, why is this time different? Is it a change in culture, a change in asset base? Why should investors have that confidence when the track record has been so inconsistent?
Steve Foots: Let me start with top line and Stephen on margin. I mean, hopefully, what you see from the slides, in top line growth, we've had 18 months of good top line growth in an industry that isn't growing. And you can compare us to anybody in the industry. We're growing very well. I think the encouraging sign in second half is that our heritage Croda businesses are growing well as well. So you've got Beauty Care, Beauty Actives and Pharma Ingredients all supporting growth now, which is really important for the group. So that's point one. Point two, 90% of our business, the portfolio is a stronger portfolio today than it was. And if you look at the slide that I presented on virtually 90% of our business is in structurally growth markets with big strong positions. We should grow. We expect to grow. We're pointed to customers with a lot of growth, particularly the local and regional customers and the regional dynamos we call them. And thirdly, virtually half of our business is in fast-growing geographies now versus 37% before. So the shift in the portfolio is significant to faster growth. So we would expect that. So all of those should come together to give us more consistent revenue growth. And we're encouraged. We're not getting ahead of ourselves, but we've had 18 months of good growth. I expect that to continue. So we'll stop there. And then on the margin point.
Stephen Oxley: Yes, Matthew, exactly the right way to look at it. So the first slide sets out the margin going down. So that's volume, partly destocking, partly obviously the disposal of the PTIC business. We put a lot of cost into the business, and we've been clear that we were too slow in taking that out. And then finally, the third leg is the cost of investments that are not fully paying back, which is obviously what will drive growth. So that's the past. If you then look forward to the future, we've set out that the margin up over 20%, go back to what I said a moment ago, driven really by growth -- top line growth of 3% to 6% and transformation growth being a slightly larger portion with GBP 75 million of transformation benefits to go. And then, of course, we do have the routine headwinds going the other way. I think Chetan has got.
Steve Foots: Yes. Sorry, Chetan from...
Chetan Udeshi: Chetan from JPMorgan. Maybe just a bit of a critical question to begin with. I think many of us for the first time is seeing a little bit of -- I think, Steve, you mentioned learnings, which probably we've not heard enough in the past, at least publicly. And I'm just curious, you are now talking about 6% of sales, which still seems high because in essence, we are seeing we've got too much assets or too many assets which are not fully sweated out yet. So I'm just looking at all the impairments. I'm just curious, how are you managing that so that we don't see 4 years from now, new plan with a lot of impairments.
Steve Foots: We got another question.
Chetan Udeshi: Maybe I have, but if you want to.
Steve Foots: Let's talk through that because I'd be to get Stephen. Look, I mean, we're a curious company. We have to learn. We don't like some of the things that happen, but you have to deal with them. And we've lived through 4 years of a very volatile industry. So I think every management team has to deal with it. We are. I think in terms of the focus in the business, we're really pleased with where the growth is coming. We've got 18 months of good growth. I think the other thing that we didn't mention to Matthew's question is you've got innovation coming back in a lot of our industries, which has been temporarily subdued, largely by our customers. That's coming back. And the Croda model is we like innovation, but we need it from our customers as well. And you're getting that. And it's not just -- I'm not just talking about beauty, it's pharma ingredients, it's crop. there's formulation churn back in the industries that we operate in. Croda likes that because we get our next best product in there. So they all won't grow at the same speed. They'll be -- they won't be linear, but they'll grow. And we feel even in these tough markets, as we say, the growth rates that we're posting now, we're encouraged with. And we've got a lot of capacity to grow into. But Stephen, anything else you want to add?
Stephen Oxley: Yes. So Chetan, I think as we think about capital investment, capital allocation, the key word for me is discipline, all right? We've been through a period of significant investments. And those investments are largely -- they're big greenfield sites that, by definition, have a longer payback. That's done. We've got all the investments that we need. Growth is being driven by the portfolio and the asset base that we've invested in. We will spend around 5% -- sorry, around 6%. That's a combination of both what I call maintenance capital, sustaining capital with some very small growth unlocks. But what we want there are small investments that are low risk with really fast cash payback. And that bite on cash payback for me is the real discipline.
Chetan Udeshi: Maybe if I follow up on the same point. This co-development with customers, is that a new concept at Croda? Because I think historically, you wanted to develop and leverage over a wider customer base? Is that a change that has happened over the recent years?
Steve Foots: It's an emphasis change. They all want different things now. And when we talk about customers, there's multinationals, there's regional dynamos and there's local players, they all want different, but we have to personalize our innovation with some of them. And some of the best returns that we get for innovation is through bilateral relationships, and we've got many in the pipeline, some really exciting stuff. But that comes from a position of trust. So when we talk about NPS scores and things like that, we are at a very high level of trust with our customers, and that fosters more and more innovation. So we're at our best when R&D in Croda is speaking to R&D at the customer and you're fostering innovation. And you're starting to see that coming through in all of the businesses. So that's helping us with your point on growth. Innovation will drive us there, but we've got self-help. We shouldn't forget that transformation is in our hands. It's not anybody else's -- it's up to us to deliver that self-help. So we have that as an additional sort of by in our armory. Yes, David has been waiting patiently here, our Head of IR.
David Bishop: It's a question from Ranulf, the Citi analyst. Please, can you provide an update on the competitive dynamics, particularly emerging from Asia?
Steve Foots: Yes. I mean, look, I mean, probably a China question, but more broadly, I mean, first point we would say is, look, currently, that Chinese competition is pointed to big customers, big products and big volumes. No matter what industry you're in, that's broadly where it is. In our industry, that lends itself to petrochemicals and upstream and some diversified. Some of you call it semi specialties, which fair enough. But it's not anywhere near Croda. We don't see that. I think the second point is, look, we -- we don't take competition for granted. We're not complacent nor are we fearful for that. We would expect competition to move towards us. And the third point in response, it's the Chetan point, it's innovation. It's personalizing our customer activities, and it's giving our customers something different. And we've got that capability through the business model. It's a very effective business model. It's meeting customer unmet needs. And you're starting to see Croda get back to its normal cadence with customers on innovation. So that will keep us ahead of the competition.
Stephen Oxley: And Ranulf, just to add, Asia and particularly China are obviously great growth opportunities for us, and you saw some really good examples of that in the presentation.
Ming Tang: It's Nicola Tang from BNP Paribas. I just had one just to do a small mini deep dive into your Pharma business. And just can you explain a little bit what's changed versus your previous or historic performance and also previous targets? Because I think you used to talk about low double-digit growth for pharma, if I'm not mistaken, versus this greater than 5%. So is the change a function of changed expectations on end market growth? Or is it more a change in terms of what you've done and how you've rebalanced your portfolio?
Steve Foots: Yes. So let me answer that. I mean, firstly, we've got 2 businesses. Pharma Ingredients is 2/3 of the business, which is that business, which you know very well. There's no change in that since 2022. We expect growth rates to be mid-single digit there. We're exiting '25 at those rates actually. So within there is -- and Thomas you can talk to Thomas afterwards. It's all around refocus, innovation, and it's the nuts and bolts of Croda. So we think there's a lot of opportunities with this rebalancing of our innovation framework to drive further growth. So 2/3 of that business hasn't changed. The bit that has changed is the 1/3, which is Pharma Solutions. And all we're saying there is, look, we're not putting any of the breakout growth in our 3-year plan. We are still very excited about the progress. Every time we look at the number of projects that we've got in there, it's not reducing. And there's lots of opportunities there. But we will get significant growth in Pharma Solutions without that. And that's coming from -- at the heart is Avanti. It's research for lipids. We've got opportunities for generics and lipids. And we've also got opportunities for non-mRNA lipids and other new vaccines as well. So we see those growth rates being good. The reason that the headline rates probably come down is because we've taken out some of the 3-year breakout growth because it's not in our hands. It may come through, but we're being cautious with that.
David Bishop: I've got a long list, so I can keep going. So again from Ranulf. With regard to the Lamar lipid facility, can you give a view on when operations may resume and what necessary conditions would be...
Steve Foots: Yes. I mean I'll take that. I mean, look, we don't like impairments at the best of times. It's not Croda, but we have to respond to market conditions. I think we've mentioned before that, look, everything has been pushed out to the right for lipids, but it hasn't gone away. It's definitely not gone away. And we feel that we've got adequate capacity to meet the near-term and medium-term demand. I think we see that as a very important asset. It's got world-class facilities in there. It's probably more valuable than it was 12 months ago. But back to the question, a lot will depend on breakout growth. If we get something in the clinical programs in the advanced stage that hits the market, and it's something which is more significant than we think, and we can't meet that demand from our current units. And of course, we will bring that back. So we've got plans to step that plant up pretty quickly if we need to.
Maurizio Carulli: Maurizio Carulli with Quilter Cheviot Investment Management. Further question on Lamar. If you are mothballing it for the time being, what are the costs involved with that? And the aim is to keep cost at the minimum and then to have a one-off cost when it restart or to keep ready to restart virtually immediately, i.e., having a bit more of cost and then 0 cost when it restarts. And ideally, also to get a sort of a quantitative sense of these costs, if possible.
Stephen Oxley: Yes. Okay. Let me put it up. So we've not -- really importantly, we've not mothballed Lamar. We put it on standby, right? And that means that we're ready to fire it up at short notice as and when there is a volume requirement right? So we've made a commitment to the U.S. government that part funded -- majority funded actually the investment. We have the plant up and running in sufficient time for their needs and of course, any other needs that we see. So it is recur having an ongoing standby costs. That's what we've provided for at year-end. So there is no financial -- remaining financial exposure here. That's completely covered. There's no downside risk. It's fully impaired. So from a financial perspective, you should think of this as a great asset actually. It's all upside when we get the volume opportunity. And in the meantime, we'll just rebalance across the other 3 sites being prudent in how we're managing the cost base.
Steve Foots: Back to you, David.
David Bishop: The question is from Virginie at Deutsche Bank. We're seeing some AI-powered fragrance companies emerging. Why do you think this shouldn't be a threat to your business?
Steve Foots: Yes. I mean AI is -- I think every board in the world is looking at AI in different ways, and we're as excited as anybody else about AI. And it's no surprise probably to the room that our focus is on innovation on AI and how does it help us with innovation. And actually, in fragrances, we're working with this and embracing that. And actually, it's a real strength. And we see it as a positive because we're taking fragrances and mapping formulations and vice versa and getting products to market quickly. And our model is getting over 2,500 references to customers on a monthly basis. So we see this as powering our model rather than a threat. And I think AI more broadly is exciting. We see it as a net opportunity for us. It can drive the screening programs. It can help us with thinking about claims. It can get products to market quicker for -- so that's how we view AI. Chetan, with your left hand.
Chetan Udeshi: Follow-ups. First one was I heard Stephen talk about raising the minimum order value from customers. Isn't that completely the opposite of what your small customers actually like from you, which is not a commitment on volumes or value? And the second question was there's a little bit of question mark right now on what's happening in the ag ecosystem. And I do know this has been a big driver of volumes for Croda in terms of recovery in the last 18 months. Are you seeing any shift in the momentum in that market?
Steve Foots: Yes. Well, let's do the tail. I mean the 2 points, what we're doing in the tail is it's the tail, tail, by the way. It's the small, small, very small. But there's 2 things we're doing there. One is to improve profitability, we think we can, minimum order quantities, we can apply because we can and we should. And separately, it's -- Stephen mentioned, it's the lower cost to serve, putting them on portals and online and scaling that. We are there, but we just want to scale that up. We think there's a better way of managing that. And separately, which is probably more beneficial to us is simplifying the tail as well. And we're talking about product SKU. So for some products, we have -- [ Alexandre ] is not here. We have multiple specifications for individual products, and we have multiple packs for individual products. That's Croda through and through. All we're saying at the tail we're trying to streamline that a bit more because that will be advantageous for us to get better throughput through the factory, nothing more than that. So it's spring cleaning, but there's -- with a target on profitable growth there. Ag, yes, I mean, look, ag has gone through 4 years of unusual trading. So 2 years of boom and 2 years of reset. I think all we're saying there now is, look, we're now -- I think stock levels are broadly where you would expect them to be across the crop environment. Don't forget we're in Europe, North America and Brazil. So we would expect -- as expected, we would see that as a more normalized growth rate now, like you saw from Croda 2010 to 2020, it was growing about 5%. It has the seasonality and the cyclicality, but it's actually quite a normal -- it grows pretty much that similar each year. So that's all we're saying we're expecting that to get moderate to its normal levels.
David Bishop: Okay. No further coming analyst questions on the webcast.
Steve Foots: Okay. Well, thanks very much. Thanks for coming as well. I mean we'll see you April 22. But also, I mean, look, the big things around for Croda, what you've heard all through the session is it's about growth and transformation. Transformation is in our hands and self-help there, but we have got good growth, encouraging signs. It's early days, but we're focused as a management team on driving that growth and driving returns for everybody. So we'll stop there. We'll come back to you with deep dive timings for pharma through the year. But thanks again. Thank you.